Operator: Good day, and welcome to the Sigma Additive Solutions Third Quarter 2022 Financial Results Conference Call and Webcast. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Chris Tyson, Executive Vice President of MZ North America. Please go ahead, sir.
Chris Tyson: Thank you, and good morning. I'd like to thank you all for taking time to join us for Sigma Additive Solutions third quarter 2022 business update and results conference call. Your host today are Jacob Brunsberg, Chief Executive Officer; and Frank Orzechowski, the company's Chief Financial Officer. A press release detailing these results crossed the wires this morning at 8 a.m. Eastern today and is available on the company's website, sigmaadditive.com. Before we begin the formal presentation, I'd like to remind everyone that statements made on the call and webcast, including those regarding future financial results and industry prospects, are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the company's SEC filings for a list of associated risks, and we would also refer you to the company's website for more supporting industry information. At this time, I would like to turn the call over to Sigma Additive's Chief Executive Officer, Jacob Brunsberg. Jacob, the floor is yours.
Jacob Brunsberg: Thank you, Chris. I'd just like to say everyone, bear with me today. I'm getting over a little bit of an illness, the beauty of having a couple young kids, so apologies about the voice here a little bit this morning. But good morning and thank you for joining us today. Q3 2022 marks my second full quarter serving as President and CEO at Sigma, and I remain excited to work with this amazing team and to share with you the progress we have made in transforming the business to a scalable software solution and quality standard for the additive industry. To help everyone get a clear understanding of the steps that we are taking and the opportunity that we have, I will take a bit of, or I will talk a bit about the results and the company's strategic plan. Let Frank review the financials and then finish with the key performance indicators we use to monitor the execution of our business plan. On results, I'm pleased to report that the business continues to move from the sale of a few expensive perpetual license hardware software systems each quarter to building software only solutions that augment and add to our subscription based reoccurring revenue stream. There is still work to do to finish out these products over the upcoming quarters, but we believe this is setting the foundation to allow partners and OEMs to leverage our background IP with our current and future software solutions. Putting us in a position to have PrintRite3D installed on thousands of production printers. Some noted third quarter highlights and subsequent events. The backlog and subscription revenue tale is continuing to grow, which is great to say for two quarters in a row here. We continued to add additional OEMs and software partners with a growing pipeline of OEM software and hardware opportunities going forward. The sales pipeline remains robust with increased interest in our new products. The deal sales cycle continues to shorten for our new opportunities. Now, I would like to take a second to elaborate on the -- on our business plan to contextualize progress and KPIs we will review later, and I will review -- and I will center this around four core areas of focus for our business. First product, then personnel, partnerships and strategic investment and M&A. Historically, Sigma's generated revenue through perpetual and most recently subscription based licensing of our PrintRite3D technology to customers that seek to improve their manufacturing production processes and through ongoing annual software upgrades and maintenance fees. However, 2022 has been a year of significant change for our business, from our symbolic name change to the execution of a new approach to the market. We have a mission to accelerate the adoption of additive manufacturing by setting the standard for quality. And we have charted our path to deliver the first holistic digital quality experience for the additive industry with the following objectives. Simplify the quality experience from up to 12 disparate software licenses and multiple manual spreadsheets to a single user experience that is holistic and integrated with production workflow. Build strategic partnerships, expand our partner ecosystem and best ensure the success of our existing customers as they move into production, by offering products that are easy to -- easier to use and less expensive, both for initial purchase and for expansion opportunities. Remove the need for hundreds of thousands of dollars of software licenses and two years and $2 million to qualify a safety critical component. And finally, attracting a strategic corporate investment partner with clear product, customer, and financial synergies. On our product, a holistic digital quality experience connects in process data upstream to the CAD cam experience through the downstream inspection and material data experience. This digital quality journey begins by creating a new qualification framework for in process data. The path to qualified parts and continued production relies on more than just mouthful monitoring, and we are addressing that head on to simplify our customers experience and create a single spot for all of their in process data analytics and reporting. In the recent months, we have began to launch our new software only suite of solutions. In addition to the just announced beta release of our machine health module, a feature process health module, together with our melt pool analytics for the part will provide a holistic in process quality base for us to connect broader digital quality ecosystem. Our machine health product that was recently launched is based off machine log data files where we convert disparate machine log files and live streaming API data from OEMs to a standard based format for monitoring, analytics and reporting functions. Our process health product is for camera based image data, beginning with layer wise camera and thermal camera modules for image-based defect detection. We will offer machine learning data training sets that are standard based definitions for a defect library, while allowing for the use of third-party machine learning and artificial intelligence approaches. For our part health module, this is built off of our melt pool based part data. This is Sigma's proven melt pool monitoring and analytics applied to any OEM data, Sigma retrofit or integrated hardware like there are Novanta Firefly 3D announcement, creating a standard based comparison tool across varying fleet monitoring that fits into machine learning and artificial intelligence approaches for defect detection. All of these solutions are being made as standalone modules, but can be connected into a full suite allowing for correlation of machine data, camera data, mouthful data, or other third-party applications to have a home for all things in process. This creates a single user experience to collect, analyze, and report on process quality agnostic of OEM and made in an open architecture framework for the industry at large. The consolidation of all in process data into our PrintRite3D suite provides a connection point for our customers to sync to the broader digital quality chain required for qualification and certification of parts. This foundation charts a path to begin to simplify the quality user experience from eight to 12 disparate software licenses and several manual spreadsheets to one user, inter user experience that is integrated into the production workflow. To provide some context, we began offering our current PrintRite3D integrated hardware and software solution on a subscription basis in 2022. Among other things, at present, the change reduced the initial upfront cost to a new user from a hundred -- from over $100,000 to approximately $3,000 to $5,000 per month. This combination of subscription pricing and the new and upcoming software only products that can be embedded into OEM and software partner offerings are intended to make our technology more affordable to acquire, easier to bundle, distribute and support in an effort to become the industry standard. On personnel, we have reduced overall headcount as we align to our business plan. We are currently focused on continued retention of key employees. We have been blessed to have some of the pioneers of the additive quality on our team and continue to augment their skillset with strategic additions that align with our digital quality future. I'd like to highlight a couple of recent strategic hires. Ryan Hurley recently joined us as an application engineer to our customer success team, supporting the implementation and scaling at our customer sites. He comes to us with a rich engineering and customer support background from Sciaky, EWI, and DMG. In addition, we added Stephan Kuehr as our GM of European Operations. Stephan is an additive industry veteran, was the former Founder and CEO of 3YOURMIND, a digital workflow company, and he is here to help accelerate our digital quality assurance future, deepening OEM and independent software vendor relationships. On partnerships, in order to expand the number of OEMs distributing our technology, we launched a three-tiered OEM program directed to do three things. One, for new OEMs without their own quality assurance or monitoring solution. Two, established OEMs with quality monitoring offerings, but who have customers with multiple printers from multiple OEMs and want a single third-party quality and analytics solution with consistent quality metrics across printers, processes and materials. And three, OEMs building open application programming interfaces or APIs to integrate components of Sigma's proprietary technology with their current offerings. We are now working with OEMs on our next-generation printers to offer a software only solution that will utilize the printer's computing infrastructure and dramatically reduce the overall cost of this technology, enabling the opportunity to move towards a software only embedded solution on every printer sold by partner OEMs. As an example of progress towards what I just discussed, I want to highlight a recent announcement on our work with SLM Solutions. SLM is one of the market share leaders for metal additive, and we have collaborated to certify and integrate PrintRite3D with their SLM.Quality API. This means our products will be able to integrate to any of their install base with API capability and future sold printers. All printers have machine sensors and machine logs that our machine health tool can provide value to. Most printers have a layer wise camera installed either at shipment or added in the field, enabling our coming process health module.  Additionally, some printers have melt pool installed from SLM. Then our process health software will be able to read and connect to our other modules. This expands our reach capabilities while enabling SLM customers to have a central agnostic home for quality. This relationship provides positive outcomes for both companies and is something we plan to emulate throughout the industry. Taking our OEM relationships up a level into agnostic hardware integration, we recently announced our work with Novanta, the pioneer, the first fully integrated scan head with quality assurance. Integrating melt pool hardware into a scan head means that any OEM that uses Novanta Firefly scan heads comes ready to connect with Sigma's PrintRite3D platform. This removes a huge cost barrier for hardware additions and provides the ability to implement monitoring solutions across machine fleets without retrofits to the optical chain -- optical train.  Lastly, we recently announced our work with Dyndrite this Sunday. [Technical Difficulty] Dyndrite's additive developer kit, users have a single user experience for CAM, material and process development, tool path creation, and the resulting in process quality data and analytics. This new solution marks Sigma's connection to further cover the quality value chain in additive manufacturing and simplify our customer's quality user experience. This marries extremely well with our started prior connected and have some simulation. We look forward to the continued progress of this work. And finally, strategic M&A. As part of our vision to build the future of connected digital quality, we have undertaken an initiative to attract a strategic corporate investment partner with clear product, customer, and financial synergies to Sigma. This work is focused on identified companies that connect to our long-term quality vision. The strategic investment initiative is focused on synergies and potential product integration to accelerate market visibility and customer adoption. We believe the industry is evolving. Application programming interfaces or APIs are opening up as some of our relationships with OEMs have become public. There's also a trend towards consolidation in additive manufacturing as companies align for profitability. Sigma has made demonstrable progress in 2022 connecting to other products in the AEM digital quality stream, and a connection to a strategic partner paired with near-term execution can augment our ability to scale, support the market, and create value. Further, alignment with a strategic partner allows for common growth, vision, and funding of the company to achieve its mission, but also provides an opportunity for other strategic relationships, including potential acquisitions that can further accelerate the execution of our digital quality vision. Now, I will have Frank review the financials and I will close with details on the key KPIs that make up our foundation and provide a basis that we will be judging ourselves by to get to our 2025 and beyond goals to truly take a seat as a standard for quality in additive manufacturing. Frank?
Frank Orzechowski: Thank you, Jacob. Our detailed financial results are contained in our Form 10-Q filed with the SEC this morning, and the press release we issued contains key highlights of our financial results. So, today I will provide a brief overview of our results for the third quarter of 2022. As we noted in our last conference call, we are continuing to move away from selling expensive perpetual licenses for PrintRite3d, in which most of the cost comes from physical hardware to setting up for our future software only subscription model with a potential for much higher margins. As part of this shift in our business, we have realigned our resources in support of this goal, and in the third quarter, we reduced our headcount by a net of five employees, with a further reduction of two employees in October. Our October full-time -- our full-time headcount now stands at 25, a net reduction of 10 employees from our peak of 35 back in April of this year. Though we will likely hire one to two more people to fill open positions in the near-term, we expect our headcount will be relatively stable for the next 12 months or so. Revenue for the third quarter of 2022 totaled to $188,000. This compares to revenues of $700,000 for the third quarter of 2021, and as a result, the fewer perpetual license sales of our PrintRite3D platform as a result of our shift in business model. However, our order backlog for the fourth quarter to date defined as firm orders received, but not yet shipped totaled 334,000 of both perpetual sales and subscription licenses. This represents an increase in our order backlog of 39% from the second quarter of this year. Our gross profit for the third quarter of 2022 was $109,000 or 58% of revenues as compared to $535,000 or 76% of revenues for the same period last year. As we have previously stated, we expect continued pressure on our margins in the near-term. However, I will note that margins have improved from 23% in quarter one and 18% in quarter two. In addition, as you may have seen in our September announcement regarding the formalization of our act of industrial network, this marks a formalization of one of the tracks of our business. As we are building out a current production scale track, we want to -- we wanted to create a focus path for work with the R&D community to build the future of additive manufacturing quality. By creating this network, we are formalizing the way we approach the R&D world by granting easy and more inexpensive access to our technology for educational institutions and R&D labs around the world. We want to get industry leading quality tools in the hands of our next-generation production leaders and help propel advancement in AM quality tools. In this regard, we are providing member discounts on our technology as well as other early access incentives to cultivate a community focused on additive manufacturing for production and instilling confidence in the quality of AM printed parts. The work we have done to reduce hardware and manufacturing costs has enabled us to launch this program with discounted pricing, so 58% margins may not be sustainable until we complete our transition, we do expect to see continued improvement in the near-term. Total operating expenses for the third quarter of 2022 were $2.4 million as compared to $3 million for the third quarter of 2021. This decrease of $634,000 or 21% was largely due to option grants awarded to employees in the third quarter of 2021, a decrease in investor public relations and advertising expenses and a decrease in non-employees directors' compensation. Partially offsetting these reduction was a charge of $130,000 taken during the quarter for severance and post-employment benefits costs. For the nine months ended September 30th, 2022, our operating expenses totaled $7 million, which are flat compared to the same period last year. Given the headcount reductions, together with other operating expense reductions taken in the third quarter, we expect to realize approximately 10% to 15% in savings from our current expense run rate in the fourth quarter of this year. Net loss applicable to common stockholders for the third quarter of 2022 was $2.3 million or $0.22 per share as compared to net loss of $2.5 million or 24% share -- the $0.24 per share in the third quarter of 2021. Cash used in operating activities for the nine months ended September 30th, 2022, totaled $6.4 million compared to $4.8 million in the third quarter of last year. This increase in cash usage of $1.6 million is primarily a result of an increase in our net loss. However, as a result of our decrease in headcount and other operating expenses, we expect our cash usage to also decline by approximately 10% to 15% beginning in 2023. Cash totaled $4.8 million at September 30th, 2022 as compared to $11.4 million at December 31st, 2021. Our working capital totaled $5.5 million at September 30th, 2022 as compared to $11.7 million at December 31st, 2021. At September 30th, 2022, we had stockholders equity of $6.8 million as compared to $12.9 million at December 31st, 2021. And with that I will now turn the call back over to Jacob.
Jacob Brunsberg: Thank you, Frank. As noted last quarter, we are tracking the following key performance indicators, KPIs to monitor the progress and execution on our new business plan. One, revenue; two, order backlog; three, pipeline; four, deal closure time; and five, partner expansion. These are the KPIs we see as critical to achieving our business plan over the next two years. To be clear, we are focused on moving away from only selling an individual printer solution to supporting the additive industry as a whole at scale. For the KPIs, revenue of $188,000 in Q3 tracks with the shift to subscription pricing heading into the launch of our first software only product in Q4 with our others targeted in the first half of 2023. Our order backlog for the fourth quarter, defined as firm orders received, but not yet shipped, total $334,000 of both perpetual and subscription sales. This represents an increase in our order backlog of 39% from second quarter, and continued progress in adding subscription sales. Pipeline remains strong with over 250 active qualified leads with aging and stagnant leads shown as reemerging with our new path to software only solutions. Our average deal cycle closure time shows continued reduction at 4.4 months, and we've had partner additions that increase the head of plan, bringing the total to six OEMs and hardware partners, Novanta, Additive Industries, DMG, Aconity, amace and SLM Solutions, and four ISV software partners, Materialise, AMFG, Sentient Science, and most recently Dyndrite. We continue to focus on where the market is and where it is going to scale. The adjustments to subscription options, more aggressive market positioning and alignment with product council members is in support of our transition to providing higher margin software only products. As mentioned in our latest investor presentation, approximately 10% coverage of installed printer market in 2025 could yield an estimated $65 million in annual reoccurring revenue. While even just a 3% coverage of installed market by 2025 could yield a $20 million estimated annual reoccurring revenue. Open architecture, scalable machine process and part health software modules will enable us to set the standard for quality and give us the ability to go after the full additive industry. To bring back to our start of the call, we have a mission to accelerate the adoption of additive manufacturing by setting the standard for quality, and we have charted our path to deliver the first holistic digital quality experience for the additive industry, with the following objective. Simplify the quality experience from up to 12 disparate software licenses and multiple manual spreadsheets to a single user experience; building strategic partnerships, expanding our partner ecosystem and best ensuring the success of our current customers as they move into production; offering products that are easier to use, less expensive, both for initial and expansion opportunities. And finally, attracting a strategic corporate investment partner with clear product, customer, and financial synergies. We look forward to tracking our progress with you going forward as we live our mission to be the quality standard for additive manufacturing. Thank you for your time today, and I will now turn it over to the operator for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] First question will be from Scott Buck, H.C. Wainwright. Please go ahead.
Scott Buck: Hi. Good morning, guys. Thank you for taking my questions question. The first one on the backlog, Jacob, how should we think about the cadence of the revenue delivery there? Is that spread evenly over 12 months, over 24 months? What's kind of the right way to think about that?
Jacob Brunsberg: Yeah. So, typically, our contract structures, I'd say the most common one is a three-year subscription model that continues to reoccur after that, but is structured that way originally. And it's a monthly revenue recognition for our subscription based products. So, as you see that backlog kind of grow, we see that revenue being recognized more on a monthly type basis in the subscription side of things.
Scott Buck: Okay. Understood. That's helpful. And then, you guys have done a nice job of adding partners over the last six months or so. Where is that inflection point where we start to see that manifest itself in the revenue line?
Jacob Brunsberg: Yeah. I think, from a direct partner perspective, we've recently added some -- one of the larger space industry companies in the recent past, some other tiered suppliers to the additive industry. So, I think as we start to work directly with our prior customers and current additions, we will start to scale as we prove out that technology over kind of a 12 month-ish period as it scales into their production infrastructure. But I think from an inflection point perspective, really some of these software only solutions that link to large OEM APIs are going to be a very strong path to market for us. And so, our software only product just started being launched in the prior month or so here with our machine health product. That's something that can be pretty easily implemented into the install base of industry is the work to partner with API implementations at OEMs. Additionally, we'll have a couple more products finalizing and coming to market through estimated Q1, Q2 of next year. I think that really is a point where we become a downloadable solution just from our webpage, which completely changes our path to market there and can be something that drives an inflection point there for us on just ease of the sales process and implementation throughout the marketplace.
Scott Buck: Super. That's really helpful. And then last one from me, just curious if you've received any feedback yet on the beta release of the machine health module and maybe what the expected wider launch date for that is?
Jacob Brunsberg: Yeah. So, we actually got to sit down with a number of our customers a couple weeks ago at the ASTM consortium standards convention. The reception has been really positive so far. We're really looking at, making this a really good tool for standardizing, all the different data logs out there in our user base. That's really kind of the focus of the next few months here, with those early product council, beta tester groups is to ensure that the reporting infrastructure and everything is set up for them to really scale that aggressively as a software. So, our target right now is to kind of finish up that work in Q1, and have that really readily available to the market, like I said, as a downloadable solution the late Q1, early Q2 timeframe.
Scott Buck: All right. Super. I appreciate the time this morning guys. Thank you.
Jacob Brunsberg: Thank you, Scott. Appreciate it.
Operator: Thank you. Our next question will be from Troy Jensen, Lake Street Capital. Please go ahead.
Troy Jensen: Hey, gentlemen. First of all, congrats on the KPI progress. Maybe for you, Jacob. Well, two things I want to ask. All these partnerships that you're announcing, just curious to know are the partners also helping sell the product, or is it just you guys adding value by integrating more with these other applications?
Jacob Brunsberg: Yeah. It's a little bit of both. So, the go-to-market is a little dependent on the partner. Specifically, if you look at somebody like Aconity or OEM partner, we actually are going to be an option on their website. So, if you're buying a machine, you can include our whole suite there within in their offerings. I think in the API or certified access, like our work with SLM, we certainly will be something that is certified to work directly with their API will probably be the primary path to market there, but one that is well integrated and done together with the SLM team. So, it's a little bit dependent on kind of where that lives, if it lives as an integrated solution with an OEM off of the shipment of their machine or if it's a more established group that has kind of their own offerings on their machine. But we're a certified quality tool for them.
Troy Jensen: All right. Understood. And then, there's a comment in your guys' press release I found interesting. It said your average deal cycle closure time that reduced to 4.4 months, seems like everybody in the additive space is seeing, lengthening sales cycles is given the current environment. So, can you just kind touch on just the values getting resonating better with clients, or why you think you're seeing shorter deal cycle times versus kind what the industry's seeing right now?
Jacob Brunsberg: Yeah. No, thank you for that question. I think that's something we're very excited about and we were hoping to see as we kind of launched our upcoming software products here. Really, I think we were on a similar sales cycle to capital equipment before as we were in more of the hardware software retrofit world in that 12 to 18 months. Today with our software products kind of getting them to market in a more accessible price point, as well as just an easier kind of download capability versus a retrofit. We're able to move a little bit faster than a typical capital sale market now. So, our new opportunities that are coming to light are -- we're able to react quicker to them. And instead of having a prolonged amount of meetings and budgetary sessions, we're a little bit more of a subscription software today, a little easier to buy. And that's really bringing down our sales cycle, which is something we want to see. And we -- as we release our software only products as more just direct downloads, that's what we're really targeting is, is getting that from months to weeks if we can. And we're certainly made a ton of progress in the last two quarters going from 12 to 18 months down to about 4.4 months. So, that was …
Troy Jensen: That's awesome.
Jacob Brunsberg: …even a little bit better than I was expecting, which was good. So, I was happy to see that.
Troy Jensen: Okay. Great. Will you be in Germany this week, Jacob?
Jacob Brunsberg: I am currently taking this call from a hotel room in Frankfurt right now. So, yes.
Troy Jensen: This is a Marriot. I can imagine it. Yeah. I'm going to miss you this year, but good luck over there.
Jacob Brunsberg: Thank you very much, sir. Appreciate it.
Operator: Thank you. [Operator Instructions] Our next question will be from Scott Billadeau, Walrus Partners. Please go ahead.
Scott Billadeau: Hi, Jacob. Congrats on moving things forward. Just a couple quick questions. One, can you talk about what the mix right now and is that -- is there going to be a change from retrofit to new installs at this point? What -- what's that mix look like? And then the second question, as you talk about that, obviously getting rid of 10 folks over the last 10 months or so, can you give a mix of how much of that -- what are the resources devoted to sales and partner support and where -- were did you impact those resources during that -- with the 10 people let go?
Jacob Brunsberg: Okay. Certainly. So, I'll start with the first question here, which was around the retrofit versus kind of new installs or integrated installs going forward. This is kind of a three-part answer me here. Still today, a lot of our work is retrofit in nature as we get to our software solutions being more prolific. The difference is most of the retrofits we're doing today are transitioning to subscription type models and pricing, so that kind of triggers some different revenue profiles here in the short-term. But all of that is really gearing up for us closing out and finishing these software products over the upcoming -- next two quarters here. So that we are in a position to scale via more of just a download direct type software versus any kind of retrofitting. The third piece of this is, removing the need to retrofit, and creating directly integrated solutions with OEMs or hardware partners. So, the Novanta relationship as an example is really, really exciting for us. Having our hardware integrated into a scan head meet is a complete change for the industry. That means zero retrofit to an optical train there, and that really looks to go on kind of the next-generation printers for their OEMs that they're working with. So that's a similar integration type cycle as we have with our OEM partners that we're working direct with as well to integrate our hardware. So that won't be immediate, but that is something that we're really excited about the future for, because that puts it as part of every single machine versus a custom solution that needs to be purchased or an optional solution that needs to be purchased, which is really setting the industry up to get quality in the hands of every user. So that answer your question there, and then I'll move on to the second one.
Scott Billadeau: Yeah. Yeah. That helped quite a bit. Just trying to figure out on what -- what's the leg lift to get installed and recognizing revenue. So, certainly, the goal has been to significantly reduce that in any way possible, and I just wanted to understand kind of how that was working.
Jacob Brunsberg: Yeah. So, yeah, we're still -- revenue starts when we integrate a hardware software solution today via subscription. But in the very near future, early next year, that starts changing into a software download, which is a kind of that first inflection point. And then the second inflection point is not far after that when we start OEM integration and Novanta scan head integration at next-gen printer launches. And those will kind of be the next two major inflection items for us.
Scott Billadeau: Great.
Jacob Brunsberg: For your question on the headcount, we've been really, as I said before, blessed with just an incredible team that's been at the forefront of additive quality for 10 plus years here, starting out a low [indiscernible] and then adding some really core talent over the past 10 years. Our retention of those critical engineering infrastructures is certainly an important factor for our team and an important factor for us going forward. So, the expertise in the hardware patents that we have, as well as the software patents as a critical core, we wanted to keep with the company that could help us progress our installation or integration with OEMs and other hardware and software partners. I think what has changed with the company is a lot of our path to market, and how we are working with people, specifically kind of transitioning more to a customer support and acceleration. So, we established a customer success group. We realigned some people into that and have been adding some talent on really focusing on, taking the blue chip customers we have and working with them towards scalability and implementation, especially as we have a more enterprise type software approach that makes it easier to do that. So, the talent restructuring has been a little bit in that area with some reductions, but increases as well in specific skillsets there.  Likewise on the commercial front, I think, that infrastructure has changed a little bit. Stefan was somebody we brought on really to kind of lead and lead the charge on the OEM and software integration front. So, you can kind of look at it as more of a change in large direct need for sales into a smaller direct need for sales, more customer support, and more focused on OEM and software integration as the path forward. So, that kind of aligns with our business strategy as we move forward here. So, I think, we've been lucky to kind of be able to keep some of our core expertise and excited to do that and then add, and really help support them taking their talents and skills to our digital future here.
Scott Billadeau: Great. Just one quick one for me and then I'll let you go. Also you talked about a partnership and talk about what's the tight rope to walk to partnering, but trying to stay the third-party independent guy who is defining quality or giving quality results. So, what's the tight rope there? And does that alter the type of partners that you discuss, part -- who you partner with?
Jacob Brunsberg: Yeah. So is that along the lines of who we integrate and partner with from a -- like OEM and software perspective, or more along the strategic investment side of the question?
Scott Billadeau: More -- I guess more along the strategic investment side, because I mean, certainly you want to integrate with everyone if you can, but I mean, turned the strategic that you want to be careful that -- I guess I'm coming more from the strategic investment side.
Jacob Brunsberg: Sure. Okay. Perfect. Yeah. I think, on -- you're right. On the OEM and software front, we've taken a very agnostic approach to the market. So, working with OEMs who already have monitoring is not a problem for us. We want to be the tool that allows a facility to take any printer and have a very singular same quality experience for that. And I think that really aligns well with API strategies from a lot of the major OEMs. And we can still maintain that agnostic approach and that's well received. Novanta echoes that too. They're agnostic OEMs too. They're trying to provide scanners to the market more broadly that really fits our strategy going well. On the strategic investment side of things, I echo exactly what you said, right? We have an agnostic approach to the market. So, we really focused on a very discreet list of strategic investors. We are -- we believe these strategic investors can help accelerate our business and align with our strategy going forward, will providing some cash for us to get there. And this is really our preferred outlet to raise capital in the near-term, while further advancing our business. And we've moved forward with that pretty aggressively. We've spoken to everybody on our list that kind of aligns with that strategic vision of being a really large agnostic quality player in the market. And we're going to keep moving that forward as aggressively as we can here in the near-term so that we can hopefully accelerate this business here. And so, I think, we've been really thoughtful on that list of companies for the exact reasons that you said. There are a lot of people who are very synergistic with a diagnostic approach versus an OEM specific investor. And that's really kind where we focused our time is on the agnostic side of things.
Scott Billadeau: Great. Thanks.
Operator: Thank you. This concludes our question-and-answer session. And now I will turn the call back over to Mr. Jacob Brunsberg for closing remarks. Please go ahead.
End of Q&A:
Jacob Brunsberg: Yeah. Again, just thank you for everybody for joining us today. Thank you for the questions, and the engagement here at the end. We remain extremely excited about our progress that we've made in the past two quarters, and we'll continue to push to become the quality standard in additive manufacturing. Thanks for the time and have a wonderful day.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.